Josh Crumb: Thanks. Well, good morning, everyone, and good evening for those of you joining us from Singapore. Welcome to the Abaxx Technologies and Abaxx Exchange Q1 2025 Corporate Update Call. During today's call, I'll reference disclosures from Tuesday's Q1 2025 quarterly business and corporate update and last week's filing of our 2024 audited annual financial statements and related filings on SEDAR+. By reference to these press releases and disclosures, I also want to draw your attention to some of the specific cautionary statements and notices that accompany each of those releases respectively and to start off this call today by referring to our caution on forward-looking statements and the regular risk disclosures of our quarterly and annual filings. Please see our disclaimer on forward-looking statements in the slide attached. In addition, given the highly regulated nature of our products and operations and the early growth stage of our ramp up and listing of new products as the year progresses, it's also important to reiterate the cautionary nature of our forward-looking statements with respect to products that are still subject to ongoing regulatory work and review. I will endeavor to point out these cautions as we go, but as of today, our Abaxx Singapore entity's regulatory status is that of a recognized market operator exchange and approved clearinghouse in Singapore with futures products currently trading in physical LNG and VCM carbon and as of Q1 the launch of our metals businesses in lithium carbonate and nickel sulfate. Any other potential products discussed today including potential new markets planned for gold and precious metals, base metals, weather derivatives and smart commodities or even some of our innovative technology enabled products, these new products would be subject to meeting all regulatory requirements. We will also speak about our upcoming gold products today. And upfront, I want to specifically point out that Abaxx spot is a newly incorporated business in Singapore in Q1, but operating under a different branch of the Abaxx corporate family tree and not part of our Monetary of Authority Singapore -- Monetary Authority of Singapore regulated entities of Abaxx Singapore, Abaxx Exchange, and Abaxx Clearing as MAS does not regulate spot commodity markets. For those of you who are new to the Company on the call today, we've hosted project update calls semiregularly around key milestone quarterly ends and did not specifically speak to financial statements or financial guidance directly. The Company is still in an early operating transition stage, ramping up commercial operations and revenues. So, we'll increasingly transition this quarterly call to that of a typical financial key performance indicator presentation in quarters ahead. But in today's call, the majority of the material updates will be focused again on onboarding KPIs and trading updates, product pipeline updates, and other technology and product milestone related developments. So as in recent calls, the call today is intended to serve as a review of recent disclosures in a forum for investor and analyst Q&A. It looks like the Q&A portion of the call today will again be heavily focused on the commercial ramp up of the Abaxx Exchange and Clearinghouse, updates on our contract adoption and onboarding of participants across LNG, environmental markets and battery metals. But in today's prepared statements, I want to specifically lay out the corporate update and milestones presentations as they relate to our two primary value creation objectives for shareholders. First, our near-term business and financial objectives that make us a sustainable business, i.e., the revenue growth and transitioning of our operating businesses from a company that builds things to a company that sells things, both in commodity derivatives and markets and software. And second, our continued development of new nodes in a global trading and clearing network or in other words, continuing to onboard and build out all of the so-called market plumbing and market distribution infrastructure that will enable Abaxx markets to achieve our medium-term goal of eventually joining the ranks of the million plus average daily volume club as a true global market, and therefore realizing our current addressable markets for global gas, new metals products as well as commercial distribution network for our software and the Abaxx full digital title collateral service network as envisioned by our founding mission. As you can see from all the immense amount of activity and successes we've had over the last four or five months in developing products and adding new nodes to our network, as laid out in our press release on Tuesday, there is no doubt as to the quarter-over-quarter, year-over-year progress in the strategic development of the operating assets, and commercial network of the Abaxx Group, a company that continues to execute in an extremely impressive global level relative to our overall capitalization. But it's also clear that we need to spend more time contextualizing each of these development updates into both buckets, not just the long-term infrastructure and network development, but also getting more granular on the near-term successes and challenges of transitioning the core part of the business to sales and trading volume growth. So today, we'll spend more time outlining what's required to grow near term volumes and revenue through the remainder of 2025 even as the longer-term technology vision starts to become a reality this year and as we continue to onboard new nodes to the network. From recent stakeholder discussions both internally and externally, I've come to realize that framing our updates in this way, both unlocking a near term revenue and trading volume trajectory as well as the development of the network and strategic asset, this dual mandate is critical for understanding the path of Abaxx through the remainder of 2025 and understanding the road markers ahead for our existing markets, our new product additions and our new software updates along the way. As I believe I mentioned on the last call, borrowing and paraphrasing from Howard Lutnick's description of building a new exchange as a year to onboard, a year to build liquidity and then we really start competing. I want to break down that process in a little bit further detail to discuss the major milestones we hit over the last quarter with our first trades in lithium carbonate and nickel sulfate, incredibly important work that's been ongoing in the distributing of our prices and market data over the past quarter and the very significant milestones announced at the March of a physical LNG trade using Abaxx benchmark prices. On today's call, I also want to discuss some of the new futures products additions that we have in the 2025 roadmap and pipeline and present them with a new category framework to help stakeholders understand how each new product can potentially add to near term volumes and revenue as well as how new products expand the access nodes to our network and help achieve both of our objectives. We're currently focusing on products that can potentially achieve quicker ramp up volumes than the brand-new markets built from scratch like our physical LNG and battery metals, and therefore products that can also add new liquidity nodes for both new and existing contracts listed. I'll touch on this new categorization in more detail as we outline the product pipeline. But basically, there are three types of markets in our roadmap. Again, the brand new greenfield physical products like the ones we've just launched and are currently building from scratch. Second, what I’ve described as step out markets the first which will be our new gold market where it's still a new market, but it functions very similar to other existing markets and will need less product education and less global connectivity nodes to build the liquidity. And finally, various spreads, indexes and look alike markets that we plan to roll out over the course of the year and can likely tie into existing pools of market liquidity much more seamlessly than the new physical markets or regional step out markets developed from scratch. So, we'll discuss how these different product categories can each help to achieve both of our objectives, products that can potentially achieve quicker ramp up volumes even on a smaller network of onboarded nodes to-date, but also products that can grow and attract new nodes or tip some of the firms in our onboarding funnel over the line for joining because of the multiple offerings. Thus far, the new greenfield markets like LNG, for example, our flagship, have been facing the dual challenges of market development penetration at the same time as our onboarding connectivity still has to be built out further for the global liquidity to take hold. That all said, I think it's important to point out from our roadmap perspective and that of some of our major strategic investors, growing the asset value of Abaxx is not just predicated on the next 12 months of volume revenue growth. While our company is absolutely in the transition phase of becoming a streamlined and process-oriented sales and client service company, and we're already in the midst of a number of management and process optimizations to better service onboarding and road trading activity. The strategic value of the Company continues to be the long-term development of the network connectivity infrastructure, the plumbing that will allow us to launch new products demanded by the market at any time once the access and distribution is global and on par with other exchange companies. A clearing network as an asset is a strategic business and core global commodities and trade collateral management, which continues to be the focus of our long-term shareholders and strategic partners. And finally, thinking about this dual mandate of network building as well as our near-term revenue growth objectives, over the next few quarters, I believe it will become increasingly clear to stakeholders how our ID++ and Abaxx digital, title development work is not just a tangential software service, but core to the strategy of unlocking inefficiencies for our clients, adding network value to our ecosystem, and generating new potential revenue streams for our exchange and clearing business. I've often talked about the concept of a fully integrated greenfield fintech business, the so-called full stack venture, that rare type of business that can first develop a commercial footing within an entrenched incumbent network, be it an entrenched distribution network or a highly regulated and protected industry, and then push software innovation from the inside out to lower customer friction, increase commercial speed and efficiency, in our case, lower the intermediary risk for commerce. We believe that the time is now for upgrading the global post-trade and commodity derivative collateral ecosystem. And in Q1, Abaxx has reached the second stage milestone with a three-phase development for engineering and testing our proprietary software technology to achieve these objectives. Over the coming quarters, we'll be publishing more about the planning and execution of our pilot work for a better way to move commodity collateral with ID++ in the Abaxx technology ecosystem. So again, having reached this operating growth stage in both parts of our full-stack technology and operating businesses, and now that Abaxx is one of the handful of commodity futures businesses globally with our own independent clearinghouse and a major financial center, we should have a number of updates to share on both aspects of the business over the next few quarters. But for now, we're also very focused on the objective of growing volumes, so we can cover, that a lot more in the Q&A. And finally, speaking on behalf of the Abaxx global team, sometimes it's hard to contain our excitement on how things are all come together here in 2025, but I should always caution that all of this forward-looking innovation would be subject to meeting regulatory requirements and navigating the complex technological adoption cycles of our institutional clearing and exchange members, which we've only started to navigate with live software products. So, turning to the agenda and sorry for the longer introduction than usual, but on today's call, I will go through recent disclosures more quickly than usual and jump right to the Q&A section with the rest of the team. Joining me on the call today are Chief Commercial Officer, Joe Raia; Chief Strategy Officer, Gabe Greeley; and CFO, Steve Fray. Today's agenda will present a little bit different than previous calls, as I'll really just focus on our commercial and operating updates in my prepared agenda, and then, we will push more of the technology and corporate financing discussion to the Q&A section. That said, we did have some big milestones and updates this quarter on ID++, the Abaxx Console Suite and full digital title technology, which sets us up for an exciting back half of 2025 as we move to pilot trades in the operating phase. But I think it's better to address that update, through the incoming questions. We're also just concluding a second tranche of an important $33 million financing that extends our growth in working capital with additional development runway into 2026. And we've also passed our peak OpEx headcount and total compensation spend over the last two quarters, and we will look to streamline our transition to normalized operating costs for operations over the quarters ahead, which we can also cover in the questions coming into the Q&A. For institutions and analysts who are new to Abaxx on the call with us today, as I go through our prepared operating updates. For further context, I would also encourage you to listen to our previous project update calls, which are on the Abaxx IR website and our Abaxx YouTube channel, drawing specific reference to the product presentations from David Greely on LNG and futures addressable markets, which is our approach to addressable markets and ramp up in general. The ID++ and Abaxx Console Suite demonstration for me and Forrester, my description of the full stack technology layer cake in November's call, and my discussion of our strategic approach to operating off of two balance sheets and two distinct but complementary business units, Abaxx Exchange and Clearing, which I'll also refer simply as Abaxx Singapore and Abaxx Technologies. It's through the sum of the parts we can realize our long term SmarterMarkets vision and strategy for changing the way commodities are priced and traded to allow the invisible hand of the free market to better discover and price and distribute the positive and negative externalities of the natural resource sector, particularly in this time of unprecedented trade volatility and a potential reordering of global energy and metal supply chains, which is ongoing in real-time this quarter, all of which requires smarter risk management tools and new market builders that we've assembled at Abaxx. So, first up, getting them into the commercial update. We've had an extremely busy four or five months since our last investor call with a number of key milestones achieved and a number of important new nodes added to our network. And again, focus on both objectives, let's get into how these updates can also help opening new revenue lines of the year progresses. As you all know, on G28 2024, we launched the Abaxx commodity futures exchange and clearinghouse in Singapore with trading commencing and physically deliverable liquefied natural gas and carbon futures contracts, a total of five new markets. And in Q1, we added four new futures markets and battery metals with three physically deliverable lithium carbonate contracts and a nickel sulfate futures. Our current suite of U.S. dollar priced futures contracts across LNG, battery metals and carbon are open for trading fourteen hours a day Monday through Friday. But stay tuned for some innovations we're working on to expand our hours, currencies and settlement infrastructures in the quarters ahead, especially once our Abaxx digital title product is fully integrated later this year subject to meeting all regulatory requirements. The most important commercial highlights to point out are the first trades in nickel sulfate and lithium carbonate futures during Q1, including the world's first trade of a non-Chinese U.S. dollar denominated and physically deliverable lithium carbonate futures. The Company also saw its first OTC LNG cargo indexed to Abaxx LNG futures, which was a major milestone for Abaxx, reflecting growing confidence in Abaxx’s prices as a benchmark contract. This announcement in particular initiated some of the most active engagement for accelerating the onboarding activity and inbounds from the LNG community since we launched the markets. We also established active bids and offers in all three LNG contracts in both carbon contracts across our trading hours, which combined with all of the new developments in market data and distribution, now allows potential clients to build their own, tracking and market assessment tools as they onboard to trade our products and allows the interdealer brokers the market ranges to work our products through their check sales channels when brokering physical and block trades as well. And on the market data front, we finalized onboarding with our first major global distribution network expected to expand the visibility of Abaxx markets to over 100 million viewers. In total, we added our first six market data partners in Q1 2025, which again, was not really available before establishing active markets, across all of our markers. Beyond this initial six, we're now progressing with basically all of the major financial data platforms so that any financial professional can pull our prices just as seamlessly as they do with other major global commodity instruments. This is an important development milestone in the hard plumbing and distribution of our markets and all future products that will no longer require this one time build out. Looking ahead with additional deals in the pipeline, we're getting close to the market equivalency needed for broad price visibility by the summer or right around that one year milestone of core onboarding. With so much complexity and chicken and the egg dependency loops in building markets, we probably didn't spend enough time previously in talking about this aspect of the infrastructure, but it's obviously important for both building the asset value from a network node perspective, but also opens up a future revenue channel as market data is an important part of the exchange business model. As we've discussed on previous calls, in the early days, the data is used in more of a strategic way than just selling a monthly data subscription fee, before our markets are liquid. But this is a future revenue lever that starts with the partnerships executed over the past quarter and more onboarding in the funnel. Another important commercial development to highlight is an inbound discussion we've engaged that's looking to utilize our clearing house for third party clearing services. Now, it's important to just note that I don't want to get too far out ahead of this one before putting in more regulatory work. But the basic third-party clearing model is that this is noncompetitive this is a non-competitive product exchange, that would integrate their markets with our clearing house. And in this specific group's case, they could potentially help to with onboarding additional bank and non-bank clearing members to our net to our clearing house for their products and ours, and Abaxx would earn a per trade fee on all of their daily cleared trading volume. In this model, particularly if it's a highly liquid, high-volume market, this can significantly add to both our business objectives, adding immediate daily volume and revenue line items as well as a new onboarding poll that builds out the nodes in our long-term network. Again, it's important to speak generally here as there's still a lot of system, regulatory, and commercial work to be done, but it's important to introduce this potential real option value of the infrastructure and technology being developed by Abaxx. To support commercial growth in Asia in Q1, Abaxx expanded marketing efforts in China, including the launch of a dedicated Chinese language website and the announcement of a co-hosted Mandarin-language battery metals seminar with Shanghai Metals Market. The team also engaged in exploratory discussions with the external exchange group based in China to collaborate on a cross jurisdictional, i.e., onshore/offshore product listing opportunities with Abaxx Exchange and Clearing. Again, on the potential, for cross listing business, this would be subject to additional regulatory work in line with other new product developments, but could open a potential revenue share opportunity for licensing our products to be traded onshore China on a per trade fee basis as well as new product listings on Abaxx Exchange of that of established Chinese market as an index price that could potentially increase trading and network build out of our own exchange and clearinghouse. Turning to onboarding progress, full clearing and execution are currently accessible through three clearing members, StoneX, KGI Securities and ADM Investor Services with three additional futures commission merchants or FCMs in Mizuho, Merix and Straits Financial providing indirect access to our market for brokers, market makers, and commodity trading clients. Four additional clears that include global bank carriers are currently in progress to establish new clearing connectivity. We plan to cover the FCM topic in more detail in Q&A, but it's important to note the initial volume seen in the first few quarters of connectivity and ramp up are still working through some full client access and connectivity blockers with a few of our FCMs and clearing members, and some of the Abaxx products are only available to a limited number of the initial execution brokers and their clients in some of the -- of our core launches, and we're not available in all global regions in some of the early sessions. Joe Raia and I can walk through some of the updates and steps were taken to remove some of the continued blockers to build initial access and liquidity in our markets. 29 trading firms comprised of merchant traders and financial trading firms are now fully onboarded to execute block trades with 12 additional firms currently in the onboarding process. Clients connected to the Abaxx continue to be able to access Abaxx markets through central limit order book and 14 interdealer brokers or IDBs are onboarded with 12 more in progress. So, we've had another strong Q1 for trading firm and interdealer broker onboarding. We continue to have a substantial commercial interest for our products, despite some of the connectivity and onboarding frustrations. And in mid Q1, we initiated an end-to-end onboarding process review to help smooth out some of Abaxx's -- the Abaxx side trading form process, as well as our FCM network, communications. Again, we can talk through this more in the Q&A. Turning to new futures products developments, we've had another strong quarter for new product development and I would reiterate that new internal classification we're using to describe these products. Unlike our nine existing contracts, where each one is a brand new physically deliverable market being built in sectors not always familiar with physical delivery futures, outside of our gold product, much of our next slate of products are specifically being developed with industry clients as new cash settled index futures, spreads and look alikes that can be a lower barrier to entry for trading and adoption and can more easily draw an existing pools of market liquidity and risk management. Specifically, we advanced a regional copper spread futures contract to listing pipeline, a suite of weather derivatives and carbon market contracts aligned with regional compliance programs each currently in our final stage three of new listings and regulatory work. Certain weather and compliance carbon futures are expected to become the first Abaxx contracts priced in currencies other than U.S. dollars. As for our innovative new gold market structure, which is not quite a greenfield market, more of a step out market, which will be very familiar to gold market participants in many other regional markets. We do not believe -- we do believe that we can build trading and network effects in our Singapore Broker and FCM community with less of a global onboarding node requirement as our other greenfield global markets. On the product specifically, we've submitted our regulatory work for 1 kilobar Singapore gold futures contract to support Asia's kilobar market, an offering not currently matched in London or New York. In parallel, we incorporated Abaxx spot, a separate entity designed to support convergence between futures and physical gold markets. While a few while a gold futures contract will be listed by Abaxx Exchange, Abaxx spot not regulated by MAS enables electronic settlement and physical delivery of a 99.99% purity kilobar in Singapore through a secure transparent gold pool. Onboarding momentum for our gold markets continued through targeted on the ground engagement and net commercial events globally. We've also progressed a number of important developments in our exchange and clearing systems development, risk and regulatory work, which I'd refer you back to Tuesday's disclosure for more detail. But I'd just like to highlight a few here. Abaxx Exchange submitted its application to the U.S. CFTC for recognition as a foreign board of trade or. Once granted, this recognition would enable U. S. trading participants to directly access products listed on the Abaxx Exchange. In February, the Company completed a public consultation on rule amendments to support the introduction of additional currencies as acceptable margin collateral. These amendments are now under regulatory review with the final list of approved currencies to be announced in due course. We also expanded system capabilities to support multi-currency settlement and collateralization with the project projected to be complete by May 2025, and we also completed the upgrade of Verifier Plus into the Abaxx trade registration platform after successfully developing the more robust mobile application and ID++ infrastructure in early year use with SmarterMarkets copy app testing. This was another important milestone in the integration and implementation of our proprietary ID and digital signature technology, which will be required for the Abaxx digital title infrastructure. As I mentioned earlier, on today's call, I'd like to push a lot of the ID++ and digital title discussions to the Q&A portion of the call as we spent a lot of time talking through the Abaxx software innovation strategy on the previous two investor calls. So, I encourage you all to listen through those recorded sessions, if you'd like more details, a detailed run through of the strategy. Touching just briefly, though, on the milestones up updates we've released, Abaxx tech released upgrades to the ID++ protocol and Verifier Plus in Q1 2025, including integrations with Abaxx Exchange and SmarterMarkets copy apps. The Abaxx Messenger is in its final stage of prerelease testing ahead of deployment and initially as a user support tool for Abaxx Exchange in Q2 here. Future development for this initial release is complete with improvements to maintaining performance at scale now in testing. These include faster load times for messages, improved performance under load, and inference tools that help support teams manage multiple ongoing conversations. Development of Abaxx One was an was initiated as a middleware soft solution connect connecting enterprise identity systems such as Auth0, Okta, and Microsoft’s ID systems into Abaxx ecosystems, and importantly, as another seamless onboarding experience into ID++ and the Abaxx private network ecosystem, which will be required for our digital title product in upcoming pilots. And finally, Abaxx Sign reached its initial functional milestone and is now progressing through an internal testing and design partner feedback cycles for deployment ahead of our pilot tests as well. Speaking to the initial revenue opportunities on the software products, while Abaxx Messenger's first deployment as an exchange support tool would not be a paid per user seat license model, it does allow exchange users their first onboarding and product experience with the platform, opening a first enterprise sales channel for future SaaS revenue as we roll out additional features, particularly in use for digital title workflows and brokering Abaxx trades. The completion of Abaxx Messenger as a hub and spoke platform support tool also opens up the potential for our first third-party license opportunity of the suite as an add on feature to the feature to software partners like MineHub. And remember, Messenger will also be, used as a cockpit for our future AI tools and the rest of the Abaxx console and digital title products. In that state, the revenue model for Abaxx software tools would be that of a typical monthly per user license fee and in platform upgrade service. And finally, it would also function as the initial sales and access funnel for another per transaction revenue model in use as the pre-trade and post-trade platform for our vision of a collateral settlement technology. So, with that, I want to wrap up with a more formal presentation. And for today's call, we can move to the rest of the tech, commercial onboarding, and corporate finance discussions to the Q&A portion of the call. So, I'll now invite David, Joe and Steve on the line and turn it over to questions. Thank you.
A - Unidentified Company Representative: Thanks so much, Josh. And I'll walk through some of the questions. Just a reminder, we received quite a few questions over the past few days through the Investor Relations inbox. We'll be giving those priority. There are also quite a few questions coming in through the call. So, I may need to group some of these together just so we can try to hit the topics in the heart of the questions in the time we have with you today. The first question we have really is about regarding the investment strategy, and that's asking, if you could elaborate on how Abaxx prioritizes its investments between the technology development and the market expansion? And what are the specific criteria used to guide these internal resource allocation decisions?
Josh Crumb: Yes. Look, it's a great question. And, again, we've probably gone to that more in more detail on previous calls talking about kind of the two balance sheets and the approach. Again, I always want to reiterate that the priority and not the highest, because this is really a multi-phase development, the highest priority and the bulk of the spending over the last five, six years, is obviously to Abaxx Singapore. And again, because we've got a small minority interest there, you can actually see the intercompany investments into Abaxx Singapore. So given that, that's the first phase, I would say that over previous years, we look at some of the ID++ technology. Although, we're obviously very, very focused on the long-term development there. I would have called it a little bit more R&D, and it's been -- some of it's been classified that way. But I would say as of4, again really as of this quarter where we're deploying, that technology live into operations and now into regulated operations, this really is becoming a commercial infrastructure and not just R&D. So, we will see that more as one integrated business strategy going forward here. It really isn't necessarily built to be Abaxx tech is for multi-party where Abaxx Singapore is just the exchange. The core commercial strategy is always for that one common vision of building out a global network that's both for trading and pre-trade, post-trade and collateralization, digitization. So, our first customer has always been Abaxx Singapore. And again this, I would say, over the -- really over the remainder of the year, this is all -- we've always offered it as operated as one integrated company even though the strategy allows for other flexibility. But this year in particular, we are just one company solely focused on the two-mission goals that I mentioned in the prepared statements, right. One is turning all of these operations into revenue, and then two is using all of these technologies, tools, and new products to build the global nodes in the network. I very specifically call it network nodes as in probably the next presentation that we do in as an investor presentation. And I will put Taf Mbanga, our Head of Corporate Development on the spot here because he's been vibe coding an amazing network model that I think will help show what these nodes more visually and what the value creation of that network is. We'll do that in future calls. But really, we've identified something like 800 firms globally, and we built out a network model to understand how those connect and create value so we can create those pools of liquidity in all of our products. So, anyways, it was another long answer to the integrated approach to building Abaxx. But again, increasingly, this is this is one company with one mission, and I think that'll be more clear, over the next couple of quarters.
Unidentified Company Representative: Alright. I think there are quite a few questions from our investors and stakeholders looking to understand that pathway to revenue. And I'll start, I'll group them together. There's a number on onboarding and connectivity. So, the first question would be for Abaxx Exchange. What are the key strategies for addressing the challenges typically associated with entering new markets and expanding your global presence?
Josh Crumb: Maybe Joe could have that hand one to you.
Joe Raia: Josh, yes. The strategy hasn't really changed since the beginning and that clearing members are certainly one of the most, if not the most important part of our onboarding strategy and work to do. New clearinghouse, new products, new exchange are all difficult hurdles to get over. I think given that we have six firms that are clearing firms that customers can connect with is one of the most important successes that we've had. And we continue, as you've mentioned, to engage with bank clearing firms that are equally important for our customers to that are reaching out to us to ask that have asked us to list new products to connect with. So, that is really the most important thing. We engage with them constantly. We, our customers engage with clearing firms constantly, and the products that we'll be launching will only increase the surface area of the clearing firms that need to connect with us. And I think you touched on this, Josh, also in your remarks in that by adding new products, we will bring on various trading entities within trading companies that will look to trade our products that will only spread across the other trading entities within companies to increase their onboarding. So, you mentioned 800 firms. It's probably even double that that the firms that we're talking to. There's brand awareness out there that we get great eye marks from the marketplace on building brand awareness of Abaxx in general. And I think that that's only going to increase the opportunities for us, not only new products, but also new clearing members and new customers to come on board with us.
Unidentified Company Representative: Thanks, Joe. And we have another question geared to trying to understand the specific strategic benefits and expected impact on market liquidity and contract adoption associated with onboarding different types of participants. For example, a bank FCM versus a non-bank FCM, merchant traders versus financial traders?
Josh Crumb: Maybe I'll take this and then hand it over to Joe to just add a little bit more context. I didn't want to specifically get into the prepared remarks, but I take something like our lithium carbonate futures. It was abundantly clear from global media, all of our client conversations that this is an incredibly needed and useful product, particularly given everything that's going on in the world, where lithium carbonate is generally dominated and priced in China. When you look at the survey assessments and indexes, that are being traded on other exchanges, yet our contract is deliverable for Baltimore. Now, we've, obviously, Traxxas is a major player in the battery metals is both an investor in Abaxx and a partner in some of the first trades. But we've also been working to onboard other of the largest metals traders in the world. And unfortunately, they weren't ready for the first trade. It obviously has no relevance to the fact that they want and need this product and help develop it. Again, it's still in the plumbing and onboarding process, that we're working through. So, yes, Joe, maybe going back to the original question. You want to kind of explain how different parts of this, I mean, obviously, the FCM and the core connectivity for settlement and clearing is critically important. But again, there's many, many players that make up this ecosystem.
Joe Raia: Yes. And these are nascent markets. These are so new in their infancy. You look at lithium carbonate, and you look at the universe of trading firms and nickel sulfate, I would argue, is even smaller. So, you're talking to firms that some of them have never traded futures before. They know they want to manage their risk. They want to have transparency in the markets. You have the ecosystem of the trading firms, the clearing firms, and brokers. This market is mostly a brokered market. And so, the brokers that, that are new to lithium carbonate may have been brokering LNG or carbon or other products, and they're only just stepping into the battery metal space in general. And so, that collective onboarding is happening as we speak. And it's an important part of the process that people need to understand how difficult that is. You have firms that have never traded lithium before that are getting involved in it, just based on their investments in this marketplace. And some of them are some of the biggest names in the energy markets like ExxonMobil and Equinor and Coke Supply and Trading. All those firms that are trading firms in energy markets or other commodity markets are now getting involved in lithium. And so, that only just brings, again, as I said earlier, new trading firms on board, new broker firms on board, new clearing firms on board, and that collective kind of Rubik's cube of onboarding is happening as we speak. And it's just a it doesn't happen certainly as fast as maybe a lot of people want and including us, but it does happen and it is happening. And that's an important thing to not lose focus on.
Unidentified Company Representative: And I think a good follow-up to that question, would be this next one, which was. How does the current pace of clearing member and trading firm onboarding compare to your expectations and targets for this initial phase?
Josh Crumb: I'll probably start with mine. Joe obviously has a lot more industry experience. But, yes, I mean, look, I think just based on some of my previous comments, it's not as rapid as we like. But again, this is an environment where we are kind of a one-on-one company doing this on a global basis from scratch, right? As one of the first new clearing firms licensed and built kind of in this greenfield way in decades, there's a lot of process particularly given the global risk environment and these sort of ongoing rolling crises in financial supply chains is it's a new environment with a lot of things that we, a lot of a lot of hurdles, the unknown unknowns, that come at you. But again, like the end clients and doing things that no one else is doing is what continues to drive us. And again, it's over the five, six years we've been doing this, there is no doubt that our products are demanded by the traders. It's all the infrastructure between the trade and actually executing the volume that just continues to be knocked out. And that's why we got into things, like, that we haven't even described in the past like the distribution of market data, right. Other than going to our x account or emailing us directly, how do they find our prices, right? How do you compare it to prices? How does that become part of your market, checks and your arbitrage opportunities, right, there? But and you can't even do that until you have market making and you've got bids and offers all the time. How do you have bids and offers before you have a market, right? So, these are the things that every quarter we're adding value and allowing this this ecosystem to evolve. And so, yes, it's probably not the timeline we would have liked, but I just keep going back. The value of what we're building, both in solving commercial needs globally, and the value to stakeholders of a business of the scale that of our vision, is a very, very high ROI investment, no matter how long you want to stretch out this timeframe within the next few years. So, that's what the investors are focused on as we continue to raise capital on new milestones. And it's not fast enough, but it's a high ROI in our view. Joe, maybe given your experience, how would you describe the timeline here?
Joe Raia: It's never fast enough for me. Certainly, I think everybody knows that on the team, we want to step on the gas as fast as we can. But we really can't move any faster than clearing firms, which are really the most important part of the ecosystem for us for them onboarding. The fact that we have six is quite remarkable, I think, and a testament to the risk systems that we built, the products that we've launched, and the team that we have. But the couple of us that have had long time exchange experience including Dan and myself, we know how hard this is, and we know how important it is for the marketplace to get these products out there. They're not being addressed by other exchanges, and the marketplace clearly has come to us and asked for them. So, they're bothering as much as possible their clearing firms to get connected with us. And we're always looking for alternatives and way to do that. And so, we're committed to the FCM model, and we want them to be partners with us in this. And we just the market has to be just patient that we and whereas much as we're impatient to know that this takes time, unfortunately. But we know that we have the right model, we have the right products. We have the best team in the marketplace. And, we know that, once we succeed, this will be a -- we'll look back at this and kind of laugh and say that, why were we worried about that back in the day. So, this is an important part of the process is to continue to be engaged with the marketplace. And, again, I think they're looking at all the interactions that we have with all of the customers across all of our ecosystem. We know we're moving in the right direction.
Unidentified Company Representative: Thanks, Joe. We also have a question on, some of the improvements to the exchange systems. One question is about the ability to settle trades in other currencies besides the U.S. dollar. And the question is. Once this is in place, will Abaxx be the only exchange that has capabilities like this? How important is it? And what does -- what types of traders does it allow us to attract and products for the exchange?
Josh Crumb: Yes, look, it's a good question. And again, the major global exchange groups, particularly in commodities have this ability. Oftentimes, they've got multiple clearing houses spread around the world and different natural currency regions and so forth. So, obviously, it's quite a complex network. And but what I would add is probably, we've as a global first, digitally native, remote first type of company. I think we're probably the only ones that have built this greenfield on a global basis, which again is make makes it extra difficult. But we do also have the benefit of being able to build that in a new global technology environment, right? Obviously, a global exchange business settling collateral built on prem, local servers, local jurisdictions, older infrastructure is very different than building a global, ultimately, exchange is a technology business. Obviously, there's going to be a lot of legal and other market infrastructure jurisdictional issues. But from a pure sort of interconnectivity of our software network, we've been built, global and multicurrency, have this global multicurrency thinking from day one. Now, of course, that all said, as I mentioned in the prepared statements, there is a regulatory local process to this, right? There's, obviously the regulatory submittals, there's the questions and review periods. So, we obviously in global commodities, you abstract to this being one global market. But of course, the legal reality of any market is its jurisdiction by jurisdiction and how the legal and regulatory matches, hit as you move a ship across water, for example, right? And that's the same thing with currency settlement. We tend to think in this abstract everything's one system, but it's a lot of interconnected local systems. And that's what we're building in both the technology, legal and regulatory front so that our system can be seamless.
Unidentified Company Representative: Okay. And we've had a few questions, on contract adoption and volumes. I'm going to group them into to one question. And I know we've hit a number of these aspects already, but maybe this is a good opportunity to summarize in one place for everyone. And I think a representative question is that, there's the management has emphasized strong interest in trading Abaxx products. People are waiting to see that strong interest translate into volumes and just trying to understand and connect the dots between that interest and the path to volumes on the exchange, when that would potentially be realized, and how we get from there, one point to the other? So, I don't know, Josh or Joe, if you would want to just kind of walk people through that process one more time, maybe some clarity on the trading interest and how that -- how you see that translating into volumes over time?
Josh Crumb: Sure. Maybe I'll take it first and then and then, hand over to Joe. But again, I think that's why I laid out in the in the earlier statements, even though we think the long-term ROI on something like LNG, as I mentioned on our Hedgeye interview yesterday. We actually believe like last week an important thing happened where I think the OPEC decision and a number of the things are happening in global trade, really did show that global gas is becoming the global energy commodity in a way that oil has dominated as the global, the key global energy commodity for the last one hundred years plus. So, global gas, I think, we were literally at that tipping point this quarter. And so, that's why -- and we predicted that many years ago. And that's why we built that as our flagship product. And so, yes. So, that that's still our long-term objective. But as I said, and what and I think we'll be more clear as we show some of this network node model maybe on the next call that to bring that liquidity, you're really starting at a global basis from day one, which needs all of this legal, regulatory, and technology infrastructure and onboarding and so forth. So, what we've done now as we continue to build that long term, that long term ROI in things like global gas, what we've done now is we're actually really focused, now that we have this core infrastructure in place on faster developed products. Again, things like indexes, spreads and what I call step out markets, which can actually develop liquidity on probably a smaller network of nodes, like just obviously, even from a regulatory perspective, our clearing members are Singapore entities. We've got a very developed Singapore ecosystem there already. And so, launching something like a Singapore specific gold futures product potentially can grow volumes quicker on a smaller number of nodes than trying to tackle the whole global LNG industry from start, right? So, I think that's the sort of the two-pronged approach. We're not forgetting about the ROI and the core mission here, but of the global network. But we are now focusing on products that can that can add more nodes and develop smaller network liquidity. So, that that that's probably what I would say. And that's what we're I think we'll have obviously many good updates on that front over the next quarter. Joe, anything you want to add to, again…
Joe Raia: Just a couple of things. I think again volume, just like onboarding, volume is equally important and it's a direct result of the firms that are coming on board. But when you look at what we have to-date in markets that are being made on the screen, pretty much all day long in LNG and all three LNG contracts, it's the first time that's ever been done, ever in the history of LNG, where you have three global benchmarks that have bids and offers all day long that market participants can execute on. And we've seen now, the announcement that we made two weeks ago, where we had an OTC trade that was based on one of our price references. That's really the start of something. When you see how Brent started back in the day. Brent started with a very small handful of cargos a month coming out of the North Sea and started to price reference. Now, you're looking at our LNG contracts now starting to be price referenced, the huge, important step in the marketplace. Again, will we wish it would happen faster? Absolutely. But the important thing is that the green shoots are there for us and the distribution of our pricing. As you mentioned, Josh, we have a partnership with an incredibly large distribution network, that will get our price out to the marketplace in areas that nobody's seeing them now. And that's going to happen within a very, very short period of time. And that will only open up more eyeballs to our products, more interest to trade it, more onboarding. So, again, it's the flywheel starts with the distribution of our products, the use of our indexes, and again, bringing products to market that the companies are asking us to launch. So, that's an important part of the whole kind of ecosystem that we built.
Josh Crumb: Yes, I would also probably point out that there, we've talked about things like the onshore offshore lookalike partnerships in China. That's obviously going to be increasingly relevant in today's world of unfortunately, more regional sort of trade walls and capital walls. And so, and being in a place like Singapore, that's exactly why we're there, is, we believe that, this is still a place to manage that liquidity and global supply chain. So, that's one area. Again, the focus that we've had on data and distribution, that's one area. The potential for third party clearing, that's another area. So, none of these are new strategies. It's important to point out. Maybe we didn't emphasize others before, and now, we're in a more of a dynamic situation, where you look at the network as a whole, you look at the long-term objectives, and you start tackling the priorities to add the most nodes to the network. Again, whether it's a product that can trade faster, and ramp up faster, and doesn't need so much of the network. And so, we're always reading and reacting to how to bootstrap a market that, like I said, there's probably like, even where we've been to date, there's probably six or seven chicken and eggs sort of like, what do you focus on first problems that we've already gotten through. We've got more ahead. But again, as Joe said, well, we know the ways through it. And we know the timelines, that we need to be focused on this year to get through the next wave.
Unidentified Company Representative: Thanks, Josh and Joe. Yes. I know we're coming up on the hour. I'd like to try to get in a few questions on the technology side, so I'd like to pivot there. We've had a number of questions that get to the point of, can you provide an update on ID++ and the broader Abaxx technology suite, really with giving investors an understanding of how you see that being applied? And given your earlier comments today, how you see that coordinating and adding value to what's happening at the exchange and clearinghouse.
Josh Crumb: Yes. Look, I think one of the major global energy companies, I saw a quote on our internal go to market Slack channel, how they were saying, you allow the collateralization of a physical commodity digitally, it changes the entire nature of futures market collateral and efficiency. So again, that's why Abaxx was built. I mean, that was the number of patents I've been writing for over 10 years, is how we use these new distributed and decentralized computing systems to do that. I think I've spent a lot of time on previous calls saying that I do not believe that blockchain tokenization is the right path for that. If you can super like simplify and commodify a product like an equity security, a money market fund maybe a U.S. dollar stablecoin, these types of things. Sure, that can move as a token on a blockchain. But a very complex financial instrument, you're really about talking about how do you really secure, a digital title and the rights and responsibilities of those people executing a digital title. That's why we have put so much work into the identity side of our development and also the digital contract and digital signature, the credential verification aspects of the technology. And as recently as last week, we talked about how people like the CEO of BlackRock, are talking about solving identity and essentially credential management is the key path to unlocking this this whole blockchain collateral ecosystem. So, I think we've been focused exactly in the right place, and I think we've done it in a way nobody else is at this stage. And so, yes, we're incredibly excited about that. And as far as, specifically for doing things on the exchange, the collateral and currency movements globally that others can't do. That's exactly where we're focused on this technology. And although like I said, it's a long call and we've obviously been very much focused on the network building and onboarding updates to revenue and product updates. But I would say in the next couple of quarters, and the next calls, like, look, we're going to be releasing our pilot roadmaps. We're going to get into more details and white papers. That's all-in process. And yes, I think probably as the last few calls, this is all coming together for people. It's increasingly, I believe, going to come together over the next quarter.
Unidentified Company Representative: Thanks, Josh. And I'd love to squeeze in one more question. I know we're coming up at the hour, but just to get one more on the technology side and that question is. You mentioned how the roadmaps are going to be coming on future calls. Just a question of how do you see artificial intelligence, AI, playing into the technology strategy?
Josh Crumb: Yes. Look. It's as, the understatement, it's an absolutely change in the way everybody globally is going to be doing work. And so, we need to be thinking about that on a one-year horizon, two-year horizon, five-year horizon. And what I've emphasized in previous calls is by being a full stack company that puts technology in the front office, really from the CEO down we're thinking about technology and innovation in every step. We're not waiting for third party integrators to come explain how this is going to work. We're living it. We're building it. We're testing it. We've got a labs approach to using it every day. We already have our own internal AI infrastructure, which is probably not normal for a startup exchange of this size of our capitalization. And I think the places it's going to be incredibly important for our ecosystem is, again you collapsing the pre-trade and pos-trade. The pre-trade is all about your network of, all these people we've talked about before, the commercial firms, the market makers, the brokers, all of the all of the network that creates liquidity, creates price discovery, on the pre-trade, and all the processes of submitting orders analyzing data to submit orders, AI is going to be part of every piece of that. And then, of course, on the post-trade, how do you speed up settlement and clearing from multi-days to basically real time? That's all going to need reconciliation automated automation verification of digital signatures. All of it's going to verification of custody, verification of legals, all of that is going to be accelerated with artificial intelligence. But the question is, how do you maintain the privacy throughout the network to allow that speed and efficiency to come through, collapse the pre-trade and post-trade, but do it privately that only the AI agents can see on a need-to-know basis. The same thing that that's already happening in the human blockchain, the human network of intelligence of the financial system. We're going to have to replicate all of that privately and securely in a digital ecosystem, but speed it up with artificial intelligence. So, I think if you even go back to our initial listing statement, filed on SEDAR, we mentioned how self-sovereign identity distributed and decentralized computing technology, content addressable storage, and very specifically we've been following for many years the development processing machine learning. Obviously, that's all been taken to another scale with what's now known as AI and the inference technologies. But this has always been built into our roadmap. And we keep technology in the front office, and we think the AI piece of this is a gamechanger for our industry as it is for everybody else's. And we have a very high expectation for ourselves that we will be at the forefront of implementing this as the global exchange group with the latest technology stack, and I would hope some of the most advanced thinking in this field.
Unidentified Company Representative: Thanks, Josh. So that's really all the time we have for questions today. We really tried to get to the heart of all the questions being asked, if not the specific questions themselves. Thank you for sending those in. If you feel that your question was not addressed, please reach out to us at ir@abaxx.tech, to our relations our Investor Relations email address, and we'll address those questions, with you specifically. And with that, I'll turn it back to Josh for any closing comments you might have.
Josh Crumb: No. Thanks, everybody. And thanks for staying a little longer today. Again, the transition this year to the operating and revenue side of all of these developments have been is just incredibly exciting. And I know there's certain milestones that people always want to see faster, but it is happening this year. The team is absolutely focused. We've got some fantastic new shareholders and investors on board for our mission. And, yes, it's I just I couldn't be more excited about the next couple of quarters ahead. So, thanks everybody.